Operator: Greetings, and welcome to the Seaport Entertainment Group Third Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Jason Wilk, Senior Vice President of Finance. Thank you. You may begin.
Jason Wilk: Thank you, operator, and good morning, everyone. With me today is our President and Chief Executive Officer, Matthew Morris Partridge, and our interim Chief Financial Officer, Lina Eliwat. Before we begin, I'd like to remind everyone that many of our comments today are considered forward-looking statements under federal securities law. The company's actual future results may differ significantly from the matters discussed in these forward-looking statements, and we undertake no duty to update these statements. Factors and risks that could cause actual results to differ materially from expectations are disclosed from time to time in greater detail in the company's Form 10-Ks, Form 10-Qs, and other SEC filings. You can find our SEC reports, earnings release, and quarterly supplemental information on our website at seaportentertainment.com. With that, I will now turn the call over to Matthew Morris Partridge.
Matthew Morris Partridge: Thanks, Jason, and good morning, everyone. First, I'd like to begin by thanking our team, Board of Directors, shareholders, and partners for their support through the company's recent leadership transition. I also want to thank Anton Nikodemus for his contributions during the initial phase of the company's development. I'm honored to be given the opportunity to step into the CEO role, and I'm excited about what the future holds for our company. I'm also thrilled for Lina and the opportunity she has in front of her with her new role. Lina and I have worked together closely since the beginning of Seaport Entertainment Group, including on SEG's separation from Howard Hughes, and in developing the company's accounting and financial infrastructure. She's done an exceptional job stepping into the interim CFO role over the past few months, and I expect that to continue as we finalize 2026 budgets and work our way into the new year. As we move forward, it's important that we continue to refine the company's focus and priorities as we seek to stabilize and then optimize our operating models. This includes continuous reassessment of our existing businesses and organizational structure to ensure we're working towards improved efficiency and ultimately positive operating income. We also want to prioritize financial discipline and thoughtful capital deployment. With our existing cash on balance sheet and expected additional cash from the sale of 250 Water Street, we plan to allocate capital in a way that positions the company to deliver long-term value. This strategy will include further reinvestment into our existing assets to fill vacancies, improve space utilization, and drive customer visitation and engagement. Beyond our existing portfolio, we plan to be opportunistic as we look for opportunities to create long-term value and grow that leverages our existing partnerships and real estate-driven hospitality and entertainment platforms. With respect to our current portfolio, let's start with New York. I want to address the recent questions about New York City tourism, and real estate trends and their broader impacts on our business. The New York City market continues to present a mixed picture. On the tourism front, international visitation remains below pre-pandemic levels, currently at about 90% of 2019 volume, and will likely remain soft in the near term. This has impacted higher spending patterns typically associated with international guests. That said, domestic travel remains resilient and total New York City visitation is projected to reach 65 million visitors in 2025, surpassing 2024 levels and approaching pre-pandemic visitation levels. Meanwhile, the Manhattan office market has shown strength. It is one of the few major US cities to exceed pre-COVID office leasing activity, driven by increasing return-to-office momentum, particularly within the financial service technology, and media industries. While office leasing in Lower Manhattan hasn't rebounded at the same levels as Midtown, Midtown South, and some of the higher-end corridors, Lower Manhattan office leasing will benefit from taking supply out of the submarket through office residential conversions. An estimated 10,000 new residential units have recently come to market or are expected to come to market over the next few years, which will further enhance the area's vibrancy and residential density. Since 2010, Lower Manhattan has seen its population grow by nearly 29%, which is the fastest-growing district in all of Manhattan and the second fastest-growing district in all of New York City behind Brooklyn's CD 2, which includes Downtown Brooklyn, Dumbo, Brooklyn Heights, and other submarkets that are right across the East River with easy access to the Seaport via the subway, ferry, and Brooklyn Bridge transportation networks. As part of Lower Manhattan's growth, two of the most proximate submarkets to the Seaport, the Financial District and the Seaport neighborhood itself, experienced residential population growth of 45% and 34%, respectively. Well above New York City's 7.7% growth rate over the same time frame. Furthermore, the 18 population in Lower Manhattan grew more than 60%, the fastest in all of New York City, and FiDi residents between the ages of 20 and 34 years old have increased by 12.5%, a 60% higher growth rate than Manhattan's 20 to 34-year-old population growth rate. As a result of the office leasing strength in other submarkets, moderating supply from these conversions, and a continued shift to becoming more of a younger residential neighborhood, incremental demand for commercial space in Lower Manhattan should grow faster than most, if not all, submarkets in New York City. This should ultimately help push rents higher over the long term for all commercial uses. In the near term, our opportunity lies in our ability to curate and deliver compelling, high-quality experiences within the Seaport. Experiences that drive visitation, time spent in the neighborhood, and customer spending regardless of broader market cycles or submarket dynamics. Sticking with New York, I'd like to provide a quick update on the sale of 250 Water Street. In August, we announced we entered into an agreement to sell the 250 Water Street development project for $150.5 million to Tavros, an experienced and active mixed-use New York City-based developer. In September, Tavros exercised its first extension option, and more recently, they exercised their second and final extension option. As a result, the outside closing date for the sale is now December 15. The deposit has increased to $7.5 million, and the sale price has increased to $152 million. Once completed, we estimate the sale will positively improve historical cash burn by more than $7 million as a result of eliminating interest expense through the repayment of the associated land loan, and other related carrying costs such as taxes, insurance, and site maintenance expenses. We remain confident in Tavros' ability to execute on the project and continue to believe this will be a terrific addition to Lower Manhattan and the Seaport neighborhood. Hospitality operations during the third quarter and year to date have seen top-line demand level off in certain legacy venues, while newer concepts such as Dutano, which opened in May, and Long Club, which is in its second full year of operation, have both continued to outperform on a relative basis due to strong social and corporate demand. During the quarter, same-store Seaport Food and Beverage revenues were up 8%, while overall hospitality revenues increased 3% year over year. Both of which are sequential improvements from the first and second quarters. We expect a moderation in food and beverage revenue growth during the fourth quarter as we prioritize flow-through and profitability potentially at the expense of revenue growth. But we believe the recently announced additions of Flanker Kitchen and Sports Bar and Hidden Boots Saloon will help drive momentum at Pier 17 in 2026. We believe that top-line softness we are experiencing in certain legacy venues is due to structural challenges, such as the type of offering or price point, and we intend to address those issues as part of our ongoing repositioning efforts. Those repositioning efforts will also include a full assessment and go-forward plan for the TIN Building, which we intend to provide along with our broader hospitality strategy during our next earnings call. And finally, before moving on from our hospitality segment, I'm pleased to share that we have now completed a number of technology initiatives, including fully centralizing our point of sale and procurement systems across all of our hospitality businesses. This integration enhances our purchasing power, financial visibility, and reporting accuracy, enabling us to better optimize performance and margins across the portfolio. This represents a significant milestone for our company, and I want to take a moment to thank our team for the tremendous work over the past year to bring these projects to completion. As we previously disclosed, we made the decision not to move forward with the rooftop winter structure. Despite its strong appeal as a way to transform the rooftop into a year-round venue, as capital costs and operational complexities rose, the project became less feasible. Despite this change, we remain excited and committed to the rooftop of Pier 17 as one of the preeminent outdoor entertainment and event venues in New York City. Polestar's third quarter worldwide top 200 club rankings placed The Rooftop Of Pier 17 seventh by gross ticket sales among venues of its size. A five-spot improvement from last year's position. This achievement underscores the venue's continued growth, global recognition, and strength of our live entertainment programming. In the third quarter, we hosted 35 concerts, including 22 performances that were at or near sellout capacity. The sell-through rate, or the number of tickets sold relative to overall show capacity, was 86%, driving nearly 100,000 people to the Seaport. We're encouraged by the performance of two newly introduced add-on experiences for this year's concert season, The Patron Patio, a two-level offering with a dedicated bar that provides elevated views of the performances, and Liberty Club, an enclosed lounge area with seating, a dedicated bar, and all-inclusive food offerings. Both initiatives create meaningful upsell opportunities, deliver unique experiences that drive incremental spending, and improve the guest experience. In addition to the concert series, we hosted several unique events on the rooftop of Pier 17. Among them was the NBC-broadcasted 49th annual Macy's Fourth of July fireworks celebration, Nike's The One Global Finals held under the Jordan brand banner, which showcased some of the top youth basketball players worldwide, and the North American premiere of the M&M's documentary "Stans," featuring a special appearance by Marshall Mathers. The benefit of hosting these events and experiences is best represented by the Macy's Fourth of July fireworks celebration, which helped drive the single highest grossing revenue day in SCG's history. We achieved this through multiple buyouts across our dining venues and through our partnership with Macy's, while also working with New York City to provide thousands of free tickets and viewing opportunities for city residents. In addition to the fireworks, in October, we hosted the New York City Wine and Food Festival, with chef Jean-Georges acting as culinary host. The five-day festival, which included an opening party at the Tin Building, drew more than 35,000 visitors across a variety of events, driving significant awareness to the Seaport. The experience showcased some of the world's most celebrated chefs, creating a truly one-of-a-kind culinary event. These events, among others hosted at the Seaport this year, have further validated our conviction in our ability to deliver marquee events that drive substantial visitation to the neighborhood and position us as a premier destination for cultural experiences in New York City. As mentioned previously and highlighted in our press release last week, we are pleased to announce Flanker Kitchen and Sports Bar and Hidden Boots Saloon, two concepts from Carver Road Hospitality. The award-winning Flanker brand currently includes locations in Salt Lake City, Glendale, Las Vegas, and we're excited to welcome their East Coast flagship location to the Seaport. These concepts will occupy over 14,000 square feet at Pier 17. Flanker Kitchen and Sports Bar will offer an elevated cocktail-focused sports and dining experience, with Hidden Boots Saloon offering live music and a country-style atmosphere, both with private event spaces. This new venue introduces fresh, differentiated concepts that will be a complement to the recently opened dining and nightlife venue, Gittano, as well as to our existing restaurant portfolio in the neighborhood. Our Seaport Neighborhood Merchandising Plan, which also includes Meow Wolf and the aforementioned Tatano and Long Club, should appeal to the more social and sometimes younger demographic that is becoming increasingly prevalent in Lower Manhattan. Overall, with more than 110,000 square feet of space leased or programmed over the past twelve months, our plan for the Seaport should build momentum in the coming years as our concepts further support Lower Manhattan's increasing residential density and evolving population. Finally, I want to congratulate the Las Vegas Aviators on a historic season as Pacific Coast League champions, celebrating the franchise's first PCL title since 1988. But we didn't take home the championship title. The team narrowly lost the Triple-A National Championship game by way of a walk-off home run in the bottom of the ninth inning. We're extremely proud of their achievements. Our team in Las Vegas is now in the midst of transforming the Las Vegas Ballpark to Enchant, a winter wonderland activation complete with an ice rink and other festive activities, which opens later this month and runs through the holiday season. This year, we made the decision to bring the operations in-house, which required upfront investment and start-up costs, but we believe it will prove to be a worthwhile endeavor as it should strengthen guest engagement, introduce new audiences to the venue, and allow us to cross-market to a broader customer base. We anticipate more than 175,000 guests will visit this season, driving revenue to the ballpark during baseball's off-season. With that, I want to again thank the entire SCG team for their extraordinary effort to date as we continue to drive improvement quarter to quarter. I'm so appreciative of their commitment and enthusiasm, and I know we'll deliver further progress in the coming months as we get into 2026. I'll now turn it over to Lina.
Lina Eliwat: Thanks, Matt, and good morning, everyone. Before I get into the company's third-quarter financial performance, I'd like to remind everyone of some changes made at the start of the year, including renaming our sponsorship events and entertainment segment to entertainment. In conjunction with this change, we reallocated sponsorship and events revenues and expenses to the respective segments that most appropriately reflect the source of sponsorship or event. These changes are reflected in both the current and prior year periods presented in our consolidated and combined statements of operations. Beginning in 2025 and in conjunction with internalizing our food and beverage operations, we consolidated the TIN Building into our hospitality segment. In prior years, the TIN Building was accounted for as an unconsolidated joint venture, and our share of net loss was reflected in the equity and earnings or losses from unconsolidated ventures line on our consolidated and combined statement of operations. In an effort to provide more comparable information, we'll refer to the 2024 operating results on a pro forma basis reflecting the inclusion of the TIN Building as a consolidated entity during the prior year period when providing year-over-year comparisons on this call. In the third quarter, total consolidated revenues were $45.1 million, a 1% year-over-year increase when compared to pro forma Q3 2024. Consolidated revenues exclude the financial results of our unconsolidated ventures, such as the Lawn Club and our investment in John George restaurants, since they are reflected in the equity and earnings or loss from unconsolidated ventures line on our consolidated and combined statements of operations. In our Hospitality segment, hospitality revenues declined 4% compared to pro forma year-over-year in the third quarter. As Matt noted earlier, the decline in hospitality revenue mainly reflects lower revenues at the Tin Building and softness among certain legacy stand-alone restaurants. Including results of our unconsolidated venture Lawn Club, total hospitality revenues increased 5% year-over-year while same-store hospitality revenue rose 11%. These gains were driven by the continued success of The Lawn Club, the strong launch of Jatano, and the benefit our venues received from hosting events on the July 4. Hospitality segment adjusted EBITDA, including earnings from unconsolidated ventures, declined by $2.9 million year-over-year as a result of reflecting a favorable one-time benefit from reimbursements received in 2024 related to prior period operating expenses. Excluding this one-time item, the Hospitality segment adjusted EBITDA improved by 40% year-over-year, supported by the growth of the Lawn Club, improvements from Jatano, event-driven restaurant buyouts during Macy's Fourth of July celebration, and overall lower operating expenses achieved through cost-cutting measures. Moving to the Entertainment segment, revenues declined 5% year-over-year primarily due to hosting seven fewer concerts at the rooftop at Pier 17 compared to the prior year. As we noted on the last call, the show count was favorable in the second quarter compared to the prior year, but unfavorable to the third quarter reflecting a timing shift in shows rather than a change in demand. Partially offsetting the lower number of concerts was revenue from the Macy's Fourth of July broadcast as well as the Las Vegas Aviator's postseason run, which included three additional playoff games, resulting in a Pacific Coast League championship game appearance all held at our Las Vegas Ballpark. Entertainment segment adjusted EBITDA decreased 51% year-over-year in the third quarter, primarily reflecting decreases resulting from the reduced concert count, variances in allocations of overhead compared to the prior year, along with increased sponsorship fulfillment costs, which mainly occurred during peak concert season. Within the Landlord segment, rental revenue drove most of the consolidated revenue increase in the third quarter, rising 56% year-over-year on a pro forma basis. We benefited from approximately $1 million in termination-related income in the quarter associated with Nike and ESPN, both tenants of Pier 17. Rental revenue growth also included private events activity, most notably Nike's The ONE Global Finals event, which took place on the rooftop at Pier 17. Looking ahead, we'll no longer receive or recognize any rental revenue from ESPN, while continuing to recognize Nike's termination income through 2026 and into 2027. In addition, Nike will continue with its ongoing monthly rent payments under the lease agreement. Landlord segment adjusted EBITDA decreased 45% year-over-year in the third quarter, primarily due to one-time non-cash charges totaling around $6 million, which include a $4 million loss recorded on 250 Water Street in conjunction with classifying the property as held for sale, and a $2 million write-off related to capital spend on the rooftop winter structure. Excluding these nonrecurring items, Landlord segment adjusted EBITDA improved 76% year-over-year, reflecting both the revenue gains discussed earlier and lower operating expenses compared to the prior year period. Overall, total segment adjusted EBITDA for the company in 2025, which reflects the financial performance of each of our segments before the effect of G&A, interest income and expense, and depreciation and amortization, and includes the results of unconsolidated ventures, declined by $7 million compared to Q3 2024 on a pro forma basis. When you exclude the impact of the nonrecurring items discussed earlier from both periods, notably the 250 Water Street loss on held-for-sale classification, the rooftop winter structure write-off, and the favorable hospitality operating expense reimbursement recognized in the prior year, consolidated segment adjusted EBITDA improved by 76% or over $4 million year-over-year. General and administrative expenses during the quarter were $18 million, resulting in a quarterly year-over-year reduction of 2%. While prior year G&A continues to be impacted by our predecessor cost structure, in the quarter, we recognized approximately $11 million in accruals related to the leadership transition. Excluding this one-time accrual, our corporate cost structure continues to reflect sequential improvement as we work towards a sustainable operating model. Interest expense decreased by $3 million compared to 2024 as a result of a $1 million decrease in interest expense related to 250 Water Street when compared to 2024 because of a loan paydown that occurred around the time of our separation from Howard Hughes, an approximately $800,000 decrease in interest expense related to the capitalization of interest on the 250 Water Street loan, and $1 million of offsetting interest income earned on invested cash deposits. During the quarter, we suspended capitalization of interest for 250 Water Street midway through the period as it was classified as held for sale, which resulted in higher interest expense compared to the second quarter. When compared to pro forma Q3 2024 results, equity and earnings or losses from unconsolidated ventures improved 180% year-over-year, mainly driven by continued growth at Lawn Club, which in its second year of operations continues to meet a strong demand for private events. Third-quarter net loss attributable to common stockholders was $33.2 million, representing a year-over-year decline of around $700,000 or 2%, with a net loss attributable to common stockholders per share of $2.61, an improvement of $3.28 per share or 56% compared to 2024. The non-GAAP adjusted net loss attributable to common stockholders for the third quarter was $7.2 million, representing an improvement of around $18 million or 71% versus the comparable period in 2024. Q3 2025 non-GAAP adjusted net loss attributable to common stockholders per share was $0.57, an improvement of $3.97 per share or 87% compared to 2024. Capital expenditures in Q3 2025 totaled $4.8 million. Excluding capitalized costs associated with the 250 Water Street development, the majority of the capital expenditures were related to the rooftop winter structure, completing the river deck bar build-out, and landlord work and maintenance capital for our existing operations. Long-term debt outstanding as of September 30 remained at $101.4 million, unchanged from year-end 2024, except for regular way amortization of the Las Vegas Ballpark loan. Net debt to gross assets at quarter-end was negative 2%. Our negative net debt position continues to reflect the strength of our balance sheet and cash, restricted cash, and cash equivalents balances, which totaled $117 million as of September 30. Before we open it up for questions, I want to take a moment to thank Matt for his leadership and guidance in our time working together, but especially over the past few weeks during this transition. I'd also like to thank the entire SEG team, our partners, and our board of directors for their continued support and collaboration. I'm excited about the opportunities ahead as we move into planning for 2026, and I look forward to building on the progress we've made as a team. With that, we'll now open the line for questions.
Operator: Thank you. If you'd like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you'd like to remove your question from the queue. Our first question comes from the line of Matthew Erdner with Jones Trading. Please proceed with your question.
Matthew Erdner: Hey, guys. Good morning. Thanks for taking the question and congrats on the continued improvement. You know, as we look to profitability, what do you think are the biggest levers that you guys can pull, you know, to drive that path forward?
Matthew Morris Partridge: Hey, Matt. Good to hear from you. It's a good question, and, obviously, it's a pertinent one. Because we have made a lot of progress. But most of the leasing that we've done, if not all of the leasing that we've done other than Jatano, hasn't rent commenced or started operating. So I think getting some of these tenants open and operating and paying rent, the remaining vacancy, which continuing the momentum on the leasing front to fill up if we include the Nike space that we'll get back in 2027, it's about 100,000 square feet left to program or lease. And then I think focusing on the operational model and the G&A to try to create some efficiencies with what we've already done, but there's more room to go, is really going to be the path to get us to breakeven and then profitability.
Matthew Erdner: Got it. That's helpful. And then, you know, following up on the leasing, could you talk a little bit about the demand that you guys are experiencing down there and I guess the mix of tenants that are looking at your prospective spaces?
Matthew Morris Partridge: Yeah. I think demand's been really strong. There's plenty of articles out there speaking to demand for restaurant space over the last few months in New York City. We've obviously had a lot of success with food and beverage operators, in getting them in the space, whether that's Jatano or Flanker or Cork or Willett. So I think the food and beverage has been strong. We're now starting to focus a little bit more on the more traditional retail tenants while filling out some of our legacy F&B spaces. So we're not short on demand. We're more focused on finding the right partners, the right experiences, and the right tenants for the diverse community and customer base that we're trying to serve.
Matthew Erdner: Got it. And then is there anything that we should expect kind of timing-wise? You know, are you guys wanting to kind of get all of these guys in and opened up prior to Meow Wolf? So say maybe middle second half of next year, we should look for velocity to really pick up.
Matthew Morris Partridge: Yeah. I think the velocity is definitely going to be in the back half of the year. I think Cork will probably get open before the midpoint. Willett will be around that July 4 time frame, hopefully. And then, in Flanker and some of the other stuff we're working on will hopefully be on the back end of 2026. And then depending on who we fill the other vacancies with, will either be a late 2026 or call it first half 2027. So the goal is to get everybody open and operating before Meow Wolf, but, obviously, it'll depend on how things get phased in here from a leasing standpoint.
Matthew Erdner: Got it. And then, last one for me. You know, how do you guys position yourself to continue bringing the special events such as Macy's Wine and Food Festival? And then could you also talk about just the importance that these events really bring in helping drive exposure and awareness to the district?
Matthew Morris Partridge: Yeah. On the latter point, you know, I'm relatively new to New York. I've been here about two years now. And a lot of the conversations I have with people who live in New York say, oh, I went to the Seaport pre-COVID or I haven't been there in a handful of years. And so I think these events help pull people down who may otherwise wouldn't have the Seaport top of mind. So it's a great marketing opportunity for us and for the community and for the neighborhood. And then I think more broadly, positioning the Seaport as a cultural and experiential destination just more broadly for New York. I think is an important part of pulling people down here and ultimately making all the tenants and partners that we're bringing here successful. So it's as much about foot traffic and time and destination as it is anything else. And I think these events definitely help with that. In terms of how to keep building on that momentum, obviously, the team has done a great job of pulling a number of events down here this year, and we're hoping to bring all of those events back and more next year. Some of that will be through programming the rooftop. Some of that will be doing special events out on the pier or in the cobblestone. So it's an array of different opportunities that we have in front of us, and we just have to keep working and keep networking and creating the partnerships that bring these things down here over a multiyear period.
Matthew Erdner: That's great. Appreciate the comments as always. Thank you, guys.
Matthew Morris Partridge: Thanks, Matt.
Operator: Thank you. As a reminder, if you'd like to join the question queue, please press 1 on your telephone keypad. Our next question comes from the line of Ross Haberman with RLH Investments. Please proceed with your question.
Ross Haberman: Good morning. Thanks again for having the call. Could you focus specifically, you talked a little bit in your queue about the restructuring with Jean-Georges. Do you think you'll hit a breakeven with that cash-wise in '26? Let me start off with that. Thanks.
Matthew Morris Partridge: Morning, Ross. When you say hit a breakeven in '26, are you talking about specifically in the hospitality segment or something else?
Ross Haberman: Jean-Georges, the Tin Building. That's what I'm referring to.
Matthew Morris Partridge: Oh, for the Tin Building? Yeah. You know, I'm not in a position today to give forward guidance on what the Tin Building will do in '26. We've spent a lot of time on it. And as we mentioned in the prepared remarks, it's a big focus for us, and we plan to be able to outline that plan on the next earnings call. So I'd say give us a couple of months to finalize the budget process, and we'll make sure to appropriately lay out our plans for that building. Call it early March.
Ross Haberman: With the restructuring, let me ask you. With the restructuring, are basically are you cutting costs there?
Matthew Morris Partridge: The restructuring was really to bring the employee base in-house. It was previously third-party managed by Jean-Georges. So that's what the restructuring allowed us to do. And by bringing it in-house, we were able to restructure those agreements. So we have license agreements now instead of management agreements. And so we were able to reduce some of the management fees that we're paying for that external management.
Ross Haberman: Is a new concept or adjusted concept part of the thinking?
Matthew Morris Partridge: I think everything's on the table. Now we're obviously working very closely with our counterparts at Jean-Georges. It's a great relationship for us. It's one that we obviously value quite a bit, especially with our 25% ownership in their broader organization. So we're working hand in hand with them to try to figure out the best path forward, and like I said, I think we'll have a pretty well-laid-out plan by March on the next earnings call.
Ross Haberman: You talked about 100,000 square feet of space to rent. How is that coming? And I don't know. Do you think you'll be able to make a dent of half of that in '26, or what's your thought in terms of the people you're currently negotiating or speaking with now? Do you have a couple of larger prospects that could use, I don't know, half or more of that within '26?
Matthew Morris Partridge: So the biggest chunk of that 100,000 is the Nike space. We won't get that back until 2027, but, obviously, we're not going to wait to try to work through that. A lot of the remaining space is small shop space. So we should be able to drive higher rents on those spaces just given the size and the use. We are working on a whole host of different opportunities, some of which I'm sure will get over the finish line and some of which maybe won't make it there. But, you know, I'm pretty excited about some of the stuff we have in the queue that we haven't been able to talk about yet. That hopefully will get over the finish line before the end of the year, and we can have some more announcements.
Ross Haberman: And just one final question, if I may. What do you expect for the capital expenditures for the fourth quarter?
Matthew Morris Partridge: So for the fourth quarter, it'll probably be somewhat light. We're deep into the Meow Wolf landlord work right now, and we're doing some work on Willetts and Cork. You know, it'll probably ramp up in 2026. You know, we've got about $50 million or so committed between all the projects that we've announced. I think the majority of that's going to go out sort of in 2026.
Ross Haberman: Okay. Thanks again for having the call. I appreciate it.
Matthew Morris Partridge: Of course. Thanks, Ross.
Operator: Thank you. Ladies and gentlemen, that concludes our question and answer session. I'll turn the floor back to Matthew Morris Partridge for any final comments.
Matthew Morris Partridge: Appreciate it, operator. Thank you, everybody, for joining us today. We'll look forward to sharing more progress on the fourth quarter and year-end conference call in the early part of the new year. Have a great holiday. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.